Operator: Good day, ladies and gentlemen, and welcome to the ENSCO International Second Quarter of 2007 Earnings Conference Call. As a reminder this call is being recorded and your participation constitutes consent to a taping. I will now turn this conference over to Mr. Richards LeBlanc, Vice President of Investor Relations, who will moderate the call. Please go ahead, sir.
Richard A. LeBlanc - Vice President of Corporate Finance, Investor Relations and Treasurer: Thank you, Justin. I'd like to welcome everyone to our second quarter earnings conference call. With me in Dallas are Dan Rabun, our Chief Executive Officer, and Jay Swent, our Chief Financial Officer; as well as other members of our management team. This morning we released our earnings announcement and filed our 8-K with the SEC. The release is available on our website, www.Enscous.com. We also provide on our website reconciliation of any non-GAAP financial measures that maybe used on this call. As usual, we'll keep the call to about an hour. Jay will provide a financial overview. Dan will then discuss our markets and operations. I'd like to remind everyone that any comments we make today about our expectations and future events are forward-looking statements pursuant to the Private Securities Litigation Reform Act of 1995. All such statements are subject to risks and uncertainties and many factors could cause actual results to differ materially. We refer you to our earnings release and SEC filings available on our website, which define such forward-looking statements, state that the Company undertakes no duty update any such statements, and risk factors which could cause actual results to differ materially from our expectations. I would also like to remind everyone that with regard to our rig status, the detailed listing is provided on our website and is updated in the middle of each month when we file our 8-K with the SEC. The last update was as of July 16. At the end of our prepared remarks we will have sometime for some questions. Now, let me turn it over to Jay.
James W. Swent - Senior Vice President and Chief Financial Officer: Thank you, Richard. Good morning and thank you for joining us today to review ENSCO's second quarter results. The second quarter 2007 was not only a record in term of both revenue and earnings but was also the 31st consecutive quarter in which we met or exceeded analyst consensus estimates. Net income in the second quarter increased 31% from prior year levels on a 15% increase in revenue. Earning per share increased by an even greater percentage, 35%, as a result of our ongoing share repurchase program, which reduced the average share count by 5.3 million shares versus second quarter 2006 levels. Our improved operating results were driven principally by higher international day rates and the addition of ENSCO 108, which commenced operations midway through the quarter. We did require one G&A expense item for approximately $8 million in the second quarter or about $0.04 per share after tax associated with our former CEOs retirement. But we do not expect to incur any significant related costs hereafter. Our second quarter effective tack rate was 21%, approximately 1.5% lower than first quarter 2007. We repurchased 2.5 million shares during the second quarter at a total cost of $145 million. This equates to an average price of $58.02 per share. By the end of the quarter our share repurchases since inception of the program in March 2006 totaled approximately 8.5 million shares at a total cost of $432 million for an average cost of $51.13 per share. As of today, we have spent approximately $480 million of the $500 million share repurchase authorization. Dan will comment further on share repurchase and capital occasion going forward. Now, let's look more closely at the specifics of the second quarter. In keeping with our normal format, we will compare second quarter 2007 sequentially to first quarter 2007. Comparisons to second quarter 2006 are covered in this morning's press release, and additional information can be found in our SEC Form 10-Q, which is being filed this morning. Second quarter revenue increased by $35 million or 6.7% as we realized significant increases in day rates on several of our international jackup rigs one of which we relocated to Tunisia from the Gulf of Mexico. We also realized more operating days in the quarter as two of our European rigs that incurred repair downtime in the first quarter worked the entire second quarter. These increases were offset somewhat by lower average day rates in utilization for our Gulf of Mexico jackup rigs. Contract drilling expense increased 3.7% from first quarter levels due principally to commencement of ENSCO 108 operations in Indonesia and ENSCO 105 operations in to you nearby yeah. This increase is less than previously anticipated due to the timing of some repair and maintenance work that slipped from second quarter into the third quarter. G&A expense increased $3 million quarter-over-quarter due to the retirement compensation previously discussed. Now, let's look more specifically at second quarter results in each of our major geographic markets. The average day rate for our Asia Pacific jackup rig fleet was $134,900, up 12% from the first quarter. The most notable increases were realized on ENSCO 106 in Australia, ENSCO 107 in Vietnam and ENSCO 67 in Indonesia. Asia Pacific jackup rig utilization was 99%, the same as last quarter. Average day rates for our Europe/Africa fleet increased to $195,200 from $182,500 in the first quarter as ENSCO 102 rolled to a substantially higher rate in the quarter and ENSCO 105 commenced its contract in Tunisia following mobilization from the Gulf of Mexico. We had virtually no downtime in Europe/Africa during the quarter, so utilization was 100% versus 95% last quarter Day rates for our North and South America jackup rigs averaged $113,700 compared to $117,900 in the first quarter. Most of the reduction was attributable to lower rates on our 250 and 300-foot rigs in the Gulf of Mexico while rates for our two ultra-high-spec jackups were sustained at or above first quarter levels. North and South America jackup rig utilization was 82%, a slight decrease from 85% in the first quarter. One of our 250-foot jackups was in the shipyard for dry dock inspection during the quarter, which contributed to this decrease. Let's move now to cash flow. Cash decreased by $73 million in the second quarter to $547 million as we continued our deepwater expansion expenditures and executed on our share repurchase program. Operating activities generated approximately $253 million, and $16 million was received from the exercise of stock options and other items. Offsetting this, we spent $184 million for capital additions, $145 million for share repurchases. We reduced debt by $9 million, and we paid $4 million in dividends. Let's now turn to the outlook for the third quarter 2007. We expect third quarter revenue to increase by approximately 3% from second quarter levels, driven in part by a full quarter's contribution from ENSCO 105 and ENSCO 108. The third quarter will be negatively impacted by mobilization of ENSCO 107 from Singapore to New Zealand, which will be extended primarily as a result of delayed arrival of the heavy lift vessel. Although we will be paid a contractual standby rate and mobilization rate during an estimated 75-day period, our accounting practices require to us defer this revenue and recognize it over the term of the contract rather than report it currently. In addition ENSCO 100 will complete work in Nigeria about one month earlier than planned and will incur approximately 45 idle days during the quarter before it commences its new contract in the North Sea. The good news here is that the rig will move from a rate in the mid-$140,000 range per day to mid-$250,000 day rate when it commences work in the North Sea. We anticipate third quarter contract drilling expense will increase by approximately 5% related to the full quarter operation of ENSCO 108 and the higher repair and maintenance expense on some of our Europe/Africa rigs, including ENSCO 100 as it prepares for relocation to the North Sea. We believe expenses will return to more normalized level by the fourth quarter. We expect third quarter G&A expense will decrease to approximately $12 million absent the retirement expenses previously discussed. Third quarter depreciation expense is expected to be approximately $48 million with the addition of ENSCO 108 for the full quarter. Now, let's talk about our expectations for the full year 2007. We expect shipyard days associated with major enhancement projects to be approximately 380 days in 2007, down from 491 days in 2006. This is a slight increase from earlier guidance due to the extra days associated with the now completed ENSCO 83 upgrade project. We expect the annual percentage increase in contract drilling expense to be in the mid to high teens which is slightly higher than our prior expectations. Major drivers of this increase are higher repair and maintenance costs, primarily for our Europe/Africa fleet, the general cost increases arriving from exchange rate movements and inflation. Consistent with last quarter's guidance, depreciation is expected to increase by approximately 8% to 9% over 2006 levels due in part to adding ENSCO 108 to our fleet. We anticipate full year G&A expense will total $58 million consistent with last quarter's guidance. Our full year 2007 tax rate is expected to be approximately 22%, generally in line with earlier guidance. We currently expect 2007 capital expending to be $550 million, an increase of $90 million from last quarter's guidance. This increase is due to the initial progress payment on a recently announced ENSCO 8503 deepwater semi. Of the total $550,000,000, $390 million relates to new rig construction, which includes progress payments on our four new deepwater rigs and the final ENSCO 108 construction payment. We also expect to spend about $80 million for enhancements projects primarily related to ENSCO 83 and ENSCO 93 and $80 million for sustaining projects. With those comments I will now turn the call over to Dan.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Thank you, Jay. Today, I will begin by discussing a few current developments and then I provide or will follow the same format as last quarter's call and provide some insight into our markets and current operations. I would refer you to ENSCO's monthly contract status report filed last week for specific rig details. I would also make some comments regarding recent M&A activities in our sector which I'm sure is of great interest to all of you. Following my remarks, we will open the call for questions. The second quarter was very active for ENSCO as we continued positioning the company for long-term growth. First, our newest jackup built by Keppel FELS, ENSCO 108, commenced drilling operations for BP in Indonesia in May. Second, we ordered ENSCO 8503, our fifth new built ultra-deepwater semisubmersible. Third, we repositioned ENSCO 105 from the US Gulf of Mexico to Tunisia for a long-term contract. Finally, we completed the upgrade and international outfitting on ENSCO 83 and commenced the upgrades for ENSCO 93 with completion expected late this year. Both of these projects will result in some additional near-term shipyard days, but we believe these projects will position these rigs for future long-term work in the international markets. I will address these opportunities later in my comments. We see the deepwater market as a significant catalyst for our future growth, and we remain committed to do expanding our deepwater fleet. As I mentioned earlier, during the quarter, we announced construction of our fifth ultra-deepwater semisubmersible, ENSCO 8503. We are confident that ENSCO 8503 will be committed well in advance of its scheduled delivery in the second half of 2010. We were pleased to announce in today's release that we recently received a letter of intent from a customer for a minimum two-year contract for ENSCO 8502 which can be extended for a three or four-year primary term before commencement of operations. The day rate will vary slightly depending on the primary term of the contract. We currently expect the revenues to be recognized from this contract during the primary two-year term will be approximately $340 million. In addition, we will be entitled to do cost adjustments from February, 2007, when we first began discussing this proposal with our customers. The final terms and conditions are subject to a definitive agreement between the parties. We will update the status of this matter in subsequent rig status reports. It is contemplated that the ENSCO 8502 will operate in the US Gulf of Mexico. A key element of our deepwater strategy is to deliver compelling economics for our stockholders. The cost of building ENSCO 8502 is approximately $385 million. If you look at the day rate earned for each million dollars of capital expenditures, based on the recent letter of intent, we believe the ENSCO 8502 will deliver a new record for all new builds under construction that have announced commitments. With three of our four new build semis subject to drilling commitments and the day rate for ENSCO 7500 adjusting $350,000 in March, 2008 and further increasing in March 2009, our deepwater fleet is expected to make a significant contribution to our long-term financial results. It is worth noting that we have what we consider very favorable drilling contract terms on the ENSCO 7500 and all of our contracted 8500 series rigs, which translates into long-term economic advantage. For example, on the ENSCO 8500 and ENSCO 8501 contracts alone, the additional revenue to be derived from cost adjustments during their primary contract term is estimated to be approximately $16,000 per day on a per rig basis based on cost information as of June 30, 2007. We continue to balance expansion of our deepwater fleet with the stock repurchase program that we announced last year. Both of these initiatives will add meaningfully to our earnings per share growth. As Jay mentioned in his remarks, we are close to completing our current $500 million repurchase authorization. We are committed to addressing our capital structure in such a manner that will enhance long-term shareholder value while not jeopardizing financial flexibility. I'm sure several of you will have questions on this subject. I can assure that you we are reviewing all of our alternatives and expect to be in a position to discuss our intentions in the near term after we complete our current repurchase program. As previously stated, we have been actively marketing and preparing several of our jackups currently located in the Gulf of Mexico for potential international opportunities. We have recently responded to several tenders from PEMEX. And in one tender, we were the only contractor responding for a 250-foot water depth capable rig. We expect that PEMEX will determine whether it will make awards for these tenders in August. And there is a possibility that PEMEX will tender for additional rigs in the near term. With regard to new industry jackup deliveries, to date, all rigs have secured work, if not before then shortly after delivery. In the international markets, we continue to see rig shortages and drilling programs being postponed due to these shortages. 2008 drilling plans and budgets are still under review by most operators. Several of our customers have reiterated their preference is to contract rigs from established contractors with long-term operating experience and good safety records. We currently see no material impact on day rates as a result of new jackup deliveries. Our international jackup fleet is virtually contracted for 2007. And excluding options not yet exercised, 60% is already contracted for work in 2008. Moving on to our market reports, in the Asia Pacific premium jackup market, only one existing industry rig has availability in 2007. All ENSCO rigs in this region are contracted into 2008 or beyond except ENSCO 67 where the operator is pursuing approvals to exercise an extension in excess of one year. In the Middle East, there continues to be a great deal of activity. The ENSCO fleet in this region is fully committed through 2007. We also expect the fleet to be committed in 2008 as extension options are exercised and as we finalize the program for ENSCO 54 for the second half of 2008. Saudi Aramco has a tender outstanding against two incumbent rigs and has indicated that it may require as many as six to eight additional jackup rigs for work in 2008, although the timing of this demand is uncertain. We see an undersupply by yearend of approximately one to two rigs in United Arab Emirates and at least one in Iran where programs have been canceled or postponed due to lack of rig availability. In India, since our last rig status report, ENSCO 53 has been extended by the current operator for an additional nine months, and we expect that three to four additional rigs will be required in this market after monsoon season ends in September. Overall, we expect the Middle East and Indian market will continue to see an increase in drilling activity over the next few years. The North Sea jackup market is currently fully utilized with only limited availability later this year with some of the major oil companies having divested assets to new entrants and small independence. A number of short-term programs from 2007 and 2008 continue to develop, in many cases by well engineering and management companies that act on behalf of small operators and investors as their drilling departments, thus consolidated several short-term rig requirements into continuous program. With ENSCO 100 returns to the North Sea from West Africa later this summer, it is contracted under this type of agreement for a one-year term plus one-year option contract. Turning to the Gulf of Mexico, the 250-foot to 350-foot jackup market continues to fluctuate depending on the program and rig availability. As rigs are now beginning to roll off contracts, operators seem content to wait out the heart of hurricane season before commencing new programs. The programs that are continuing are very short in duration and in many cases larger rigs are competing for work with standard rigs, creating heavy competition and resulting in pressure on day rates. On the positive side, rates for larger rigs have stayed intact. As an example, during the quarter, ENSCO 75 was awarded a 30 to 60-day contract in the mid-180s. This rate has been in effect since October of 2006 even though several new contracts with different operators have been negotiated. To update our contract status report after completing its contract last week, ENSCO 98 has entered a shipyard for an approximate two-week stay for some minor spurtcan [ph] reinforcements. We continue to see a decrease in the Gulf of Mexico rig count. PEMEX recently awarded tenders for work in Mexico for two 250-foot jackups currently in the Gulf of Mexico in addition to several incumbent rigs receiving awards while several others were not yet awarded. We expect that PEMEX will award these contracts and may issue tenders for additional rigs. In Brazil, Petrobras award ad contract to a new build jackup to commence in the first quarter of 2008. We see additional demand in Brazil. Besides these rig departures from the Gulf of Mexico, we believe we may see as many as five additional jackups leave over the next few months. Now, turning to the global ultra deepwater floater market, this market remains very strong as evidenced by the earliest rig availability being in late 2008. Most markets are experiencing shortages in securing a sublet is the only current means of securing rig time. The Gulf of Mexico continues to flourish as more operators gain entrance into deeper waters. In addition we expect the upcoming lease sales in the Gulf of Mexico should also stimulate additional demand. PEMEX also awarded several long-term contracts and is expected to reallocate some drilling expenditures from the standard floated fleet to long-term deepwater exploration. West Africa, Indonesia and India have outstanding requirements and with Petrobras's increased requirements in Brazil other operators with planned deepwater exploration programs have been forced to bring rigs in from outside the area. This is an interesting and exciting time for our Company. We now have a part $21.5 billion of new build deepwater projects in process all of which will be funded from our internally generated cash flow. This demonstrates our commitment to the long-term growth of our business and our confidence in the current drilling cycle. I'm sure all of you have questions about the recent announcement of the merger between GlobalSantaFe and Transocean, any implications, if any for ENSCO. Needless to say, we cannot comment specifically about their transaction or their rationale for combining the two companies. We are currently evaluating the combination and its implications for ENSCO but it looks like the transaction was well-received by the investment community. The transaction appears to be an official way of expanding the business and at the same time addressing concerns about capital structure in light of Transocean's growing backlog. As we all know, large transactions such as this start a great deal of speculation in the marketplace and I can assure you there's been no shortage of phone calls from investment bankers in the last 24 hours. It remains to be seen whether this will create any trend in the market for additional consolidation. Of course ENSCO has historically been a consolidator in this business and we are always looking for opportunities to create shareholder value. I suspect the recent announcement will stimulate conversations and thoughts about some consolidation opportunities but it is too early to tell. Jay and I will now been available to answer your questions. Richard, I hand the call back to you.
Richard A. LeBlanc - Vice President of Corporate Finance, Investor Relations and Treasurer: Justin, we are ready to take questions at this time.
Question and Answer:
Operator: Thank you very much, sir. [Operator Instructions] And we'll take our first question from Arun Jayaram with Credit Suisse. Please go ahead.
Arun Jayaram - Credit Suisse: Good morning, guys.
Richard A. LeBlanc - Vice President of Corporate Finance, Investor Relations and Treasurer: Good morning.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Good morning.
Arun Jayaram - Credit Suisse: Dan, I was wondering if you could comment on the ENSCO 93, I guess we were hearing that you mid at an area above 150 which is good, and just maybe the strategic decision to move into Mexico, which could be a good growing market for you guys.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Yeah, I think, Arun, on the last couple of conference calls people have asked us to do we have an aversion of looking at opportunities in Phoenix and I think we, you know, pretty consistently has stated that we think that it's a very good market. Historically, we have not been in that marketplace because of some contractual restrictions but PEMEX is less than some of those restrictions. You know we have examined it closely, feel comfortable that we can operate in that market. So yeah, we are looking into opportunities and we did bid 93 into that market. We were the only bidder for that particular tender. PEMEX has indicated they will make a decision with respect to that award some time in August. So we will wait to see the news on that.
Arun Jayaram - Credit Suisse: Can you comment on the rate? Because it is, I guess its public information but I just want to do see if you can give us what you bid on the rate.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: I don't think its public information.
Arun Jayaram - Credit Suisse: Okay. Fair enough. Jay, can you help me out, the tax rate continues to come in lower than I'm modeling, can you give us information for the rest of the year and thinking about '08?
James W. Swent - Senior Vice President and Chief Financial Officer: Well, as I said in my comments we think full year you are probably safe at the 22% rate. We have things that come up from time-to-time in terms of settlement of minor issues and slight swings in the deferred component of the tax rate, that type of thing. So I think you shouldn't be surprised by 1% swing here and there but as I said I think for a safe number to use for the year 22% is a good rate.
Arun Jayaram - Credit Suisse: My last question, I tried to calculate what your backlog, I guess somewhere around $4 billion. What is your contract backlog been in the last 90 days? Can you give me your estimate of your current contracted backlog?
James W. Swent - Senior Vice President and Chief Financial Officer: I think other than talking about the 8502 it's been pretty stable during that time period?
Arun Jayaram - Credit Suisse: Okay. Fair enough. Thanks a lot.
James W. Swent - Senior Vice President and Chief Financial Officer: Thank you, Arun.
Operator: Moving on, we will take our next question from Ian McPherson with Simmons and Company. Please go ahead.
Ian McPherson - Simmons and Company: Yes, good morning.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Hi, Ian.
Ian McPherson - Simmons and Company: Hi, Dan, I will leave the M&A discussion kind of aside for the moment but with regard to what they've said yesterday about tying the capital structure away to the free cash flow that's imbedded in the backlog, can you comment on that particular framework for other ways that you're thinking about coordinating those considerations?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: I'm not sure I understand the question exactly what you're asking but --
Ian McPherson - Simmons and Company: It makes sense to think about your capital structure with regards to the visibility of free cash flow in your backlog.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: I mean clearly
James W. Swent - Senior Vice President and Chief Financial Officer: That approach.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Yeah, I mean clearly that's one way of looking at it. It's not only backlog but how long-term is that backlog. So you know that's certainly something we would factor into the considerations when we look at this capital occasion issue, allocation issue.
Ian McPherson - Simmons and Company: I guess more specific...
James W. Swent - Senior Vice President and Chief Financial Officer: I guess, you know, generally speaking, the bigger the backlog the more comfort we have in making decisions.
Ian McPherson - Simmons and Company: Okay. More specifically when you priced here the contract for the ENSCO 8502, it seems to show pretty good visibility that you're getting firm commitment to late 2009 timeframe and in light of that, the ENSCO 7500 is due newspaper Q1, 2010. So is it premature to start wondering if Chevron should consider trying to price their one year option sooner rather than later on that rig?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: You know, each customer is doing it differently and I've met with Chevron and kind of have some visibility. I think for all operators they are starting to move past the 2008, 2009 timeframe. And generally are starting to focus their attention on 2010 and are starting to address those. I wouldn't be surprised the next foreseeable future you see discussions in that regard come to fruition.
Ian McPherson - Simmons and Company: Okay. Thank you very much.
Operator: We'll take our next question from David Smith with JP Morgan. Please go ahead.
David Smith - JP Morgan: Good morning, guys.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Good morning.
David Smith - JP Morgan: I wonder if you could get your view on the recent areas of the two jackups signed with ONGC for five years, about 140 K per day and maybe your view of the fair trade-off for a rate of maybe a five-year term.
James W. Swent - Senior Vice President and Chief Financial Officer: I think one thing to note is for historical perspective once you remember ONGC was not paying any rates anywhere near that level just a few years ago and was viewed as a customer who probably would never be paying international day rates. And here we are today paying pretty much international day rates. I think right now our view is that the market is strong and we are always interested in term but we are not looking at trading off a huge amount of day rate for term at this point because we think it's a pretty strong market in the time period that you're talking about.
David Smith - JP Morgan: Great. Thanks. Also, wondering if you could talk about your view of why we haven't seen more jackups leave the Gulf of Mexico despite of what seems like massive and sustained differential between rates. I mean we're back in '05 we kept looking at the equilibrium, you know global equilibrium as guidance and it looks like the Gulf of Mexico is just kind of the same.
James W. Swent - Senior Vice President and Chief Financial Officer: I'm sorry, your question is why we haven't seen more.
David Smith - JP Morgan: Your view of why we haven't seen, relative to the rate that we had in '06… '05 and '06 and how that has dropped off a cliff.
James W. Swent - Senior Vice President and Chief Financial Officer: I think if you look at what's been happening in the first part of this year there hasn't Ben as many tender to say react to and to transfer rigs out against. There's lots of discussions about things coming up late in the year but there have not actually been that many opportunities for people to bid rigs and to move them. I think that's part of it. I certainly don't think its lack of willingness on our part or most of our competitors' part to look at opportunities. Certainly, we are all looking at PEMEX and are looking at the Middle East, and just a question of when something comes up that makes sense. So as Dan said, I think we certainly foresee an acceleration of movement as the year plays out.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: And just to add to what Jay said, most of these opportunities or a good number of these opportunities are with national oil companies and he just don't call them up and go negotiate directly with them. You know, you have to wait for them to tender for rigs through these public tender processes. As you all recall, there was quite a bit of tender activity last year and a lot of movement of rigs. I think, what you will see and I have visited with all of these customers, you know, they are digesting getting these rigs up and operating. They all have additional incremental demand but they are gearing up for that, and we fully expect to see, you know, tender activity pickup. It has been a little light first six months of this year.
David Smith - JP Morgan: Great color. Thank you.
Operator: And moving on, we'll take our next question from Pierre Connor with CapitalOne South Coast. Please go ahead.
Pierre Connor - CapitalOne South Coast: Good morning, gentlemen.
James W. Swent - Senior Vice President and Chief Financial Officer: Hey, Pierre.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Morning.
Pierre Connor - CapitalOne South Coast: Hi. And my first... well first, congratulations on the contract of 850, and so, Dan, I want to do ask you a little bit about, you've mentioned that you've got some cost protection in there, so reminds us what's your sort of expected operating costs were, and I guess you were saying that this was going back to February when you began discussions, you are protected on that kind of cost. Is that correct?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Correct. Yeah. We initially began talking to this customer last February and our proposal all kind of dated back to that date, so it goes back to that time period. And I really can't comment here on what the exact number is because, you know, we have to sit down and negotiate this with the customer, and so it's, you know, still...
Pierre Connor - CapitalOne South Coast: I meant as far as your operating cost, what you've had, I guess, you've sort of had $65,000...
Daniel W. Rabun - Chairman, President and Chief Executive Officer: It was in the mid, high 60s, so it's somewhere in that neighborhood.
Pierre Connor - CapitalOne South Coast: Right. Okay. So that's the kind of margin protection you have in that contract and will go forward there...
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Correct.
Pierre Connor - CapitalOne South Coast: ...between there and the day rate. That's impressive.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: To be honest we calculate these cost escalation costs on a quarterly basis and February falls in the middle, so the number is a little unclear.
Pierre Connor - CapitalOne South Coast: Okay. No problem. Then moving to PEMEX, is the issue there the difference between where these bids are coming in and what is budgeted that has always been discussed as one of the interims on occasion where their the budget levels were not commensurate with international rates are, is that what's maybe causing them to go back and re-look, or is that a hurdle at all as you see it?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Well, you know, I've heard some of that same thing, Pierre, but, you know, if you look at what's happened this last round of tender, there were four different tenders and clearly others you know... that were, you know, at or below or near previous rates, so they deferred all of those until August so it's kind of hard to make, for us to figure out exactly what they are thinking.
Pierre Connor - CapitalOne South Coast: What's their strategy?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Yeah. We should no here in the next 20 days or so.
Pierre Connor - CapitalOne South Coast: Okay. Thanks. Dan, last one on the Gulf just to get a calibration with where you're expected numbers are, you know, I guess I have tracking of five rigs. I know that should be in the next quarter, a couple of Pride rigs and three Diamond rigs. And then is that the five that you were reflecting on, or did you anticipate that we could potentially here of additional departures?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Yeah. I think if you go back to our script in the math, I think we are talking about something incremental to that, but does it overlap with some of your numbers or so?
Pierre Connor - CapitalOne South Coast: Okay. But still a few more?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Yeah. I think so.
Pierre Connor - CapitalOne South Coast: Okay. I think most of the rest has already been addressed. Thank you, gentlemen.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Sure. Appreciate it.
Operator: And gentlemen, our next question comes from Daniel Boyd with Goldman Sachs. Please go ahead, sir.
Daniel Boyd - Goldman Sachs: Dan, you mentioned that there is interest now in 2010 start dates on the floated side, is it fair to assume that you are already in negotiations for the 8503?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: You know, we were marketing 8503 the day we announced it. So we are definitely actively marketing that, Dan.
Daniel Boyd - Goldman Sachs: Okay.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: I couldn't, I couldn't handicap for you what the likelihood of getting a contract forward and what time horizon. But we do feel very confident that well in advance of delivery we will have a commitment for it. But just depending on market conditions. As we saw with 8502, you just have to kind of look at the new bill deliver reschedule and depending on delivery dates is when you get into your higher probability for getting a contract. So 8503 has a little bit down the queue, so.
Daniel Boyd - Goldman Sachs: Yeah.
James W. Swent - Senior Vice President and Chief Financial Officer: And I think, Dan, you ought to view that the same way, our approach on 8502 which was we felt like we’ve made the investment in that rig and we were, took the risk of building it without a contract. And it made sense that we got a pretty fair day rate for that rig, and we’ll take the same view on the 8503.
Daniel Boyd - Goldman Sachs: Can you also comment on the discount, customers are asking for in that time frame on a four-year commitment versus the two-year?
James W. Swent - Senior Vice President and Chief Financial Officer: Yeah, I don’t think... Dan, it's hard to generalize. But it's... it's not meaningful. It's something in the 5% range their. If I were going to throw a number out there and I hate to throw numbers out there. But, yeah, I was going to say 5% range.
Daniel Boyd - Goldman Sachs: I guess, I'm, also trying to get a feel for the 8502 as well so. And then just lastly, what are you seeing on the potential acquisition side for speculative floaters and have expectations changed at all relative to where they were last quarter given the run up on stock prices?
James W. Swent - Senior Vice President and Chief Financial Officer: No, Dan, I don't really have an update from last quarter. It's pretty much the same situation. The asking prices are still well north of $200 million a rig and for a lot of equipment that don't have contracts or cruise or infrastructure. So it's pretty much the same.
Daniel Boyd - Goldman Sachs: Okay. Thanks.
Operator: And Robin Shoemaker with Bear Stearns has our next question. Please go ahead.
Robin Shoemaker - Bear Stearns: Yes, thanks. Just on a couple of rigs you've had where you've had like a one rig operation in a market, West Africa most recently, and now you are mentioning Mexico, Brazil, West Africa. How do you feel about bidding for opportunities in markets where you might have just one rig as oppose to kind of concentrating in the markets where you have kind of a critical mass of eight to ten jackups?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Yeah, I mean clearly we would like to concentrate our rigs to get the maximum efficiency for our own shore. But that having been said when we look at specific opportunities, let's just say Brazil for instance, we look at the incremental cost of operating a one rig operation and build that into our estimate of cost and add it on when we tender for these requirements. So we feel like, we get the economics, when we do the one rig operations, but that having been said we clearly prefer to concentrate. So if we move a rig into a market it's usually with a view that we’re going to get a toehold in the market, not just have a one rig operation.
Robin Shoemaker - Bear Stearns: Right. But would you... is it safe to say that now that West Africa is probably not going to lead – you’re not going to build up a presence there?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: I would say in the near term that's a correct statement.
Robin Shoemaker - Bear Stearns: Yeah. Sure. And now on the Brazil market, you say one probably tender and more, do you have a rough idea of how many more jackups Brazil might require?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: There's been a recent flurry of activity and we've heard the indications that I've heard there are a couple of additional rig requirements.
Robin Shoemaker - Bear Stearns: But they are individually bid, not as... there's not a package of?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Yeah, they are all on the different bid.
Robin Shoemaker - Bear Stearns: Yeah. Okay. Okay, that's all I have. Thank you.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Sure.
Operator: And our next question comes from Angeline Sedita with Lehman Brothers.
Angeline Sedita - Lehman Brothers: Thanks. Hi, guys. Dan, could you give us a little bit more color on the Gulf of Mexico jackup market? You mentioned that some of the operators are willing to come off contract and wait out the hurricane season. Last year, we saw some idle time during the hurricane months and some pressure on rates, would you expect the same this season as well?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Yeah, I think, you've seen this in our recent rig status report and some of the other contractors. It's definitely softened up here a little bit recently too.
Angeline Sedita - Lehman Brothers: I would expect a little bit more idle time from here as we go into August and September which last year, I believe, we saw a weaker, a scattered across the rigs, until we got out of the key months?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Angeline, I think utilization will remain fairly constant much, just some rate pressure.
Angeline Sedita - Lehman Brothers: Anything you see it across the board or that your higher spec rigs will hold their own despite having to move closer to shore?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: No, just on the 250-foot, 300-foot rigs.
Angeline Sedita - Lehman Brothers: Okay. Great. Then you mentioned the mobilization potential for one of your jack-ups to Mexico. Any other areas that you're bidding into or opportunities?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Yeah, I mean, we’re clearly looking at opportunities in the Middle East and we've positioned a couple of these rigs to work in the international markets, so we are looking at those opportunities.
Angeline Sedita - Lehman Brothers: Great. Thanks, that's all I have.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Thank you.
Operator: Our next question will come from Jud Bailey with Jefferies and Company. Please go ahead.
Judson Bailey - Jefferies and Company: Thank you, good morning. Dan, if I could circle back to your comment on the share repurchase and what you are going to be doing for shareholders, could you maybe give us a sense of timing and a little more insight into what you're thinking? Because looking at the numbers for next year you will be building quite a bit of cash. So, if you could maybe clarify the timing of any type of decision or if you just extend the share repurchase?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Yeah. I mean, yeah, the return of capital was obviously an important issue and we examine this and continue to examine the cash flow requirements for our businesses and we look at two basic uses for our excess cash flow, that's reinvestment in the business and return of capital to our stockholders. As you are all aware, we aggressively reinvested in our business using $1.5 billion alone for our new build program and we’ve been looking at other alternatives for investing in the business, buying assets and we believe that there will be a number of opportunities to purchase assets in the relatively near-term. When we look at the returns of capital we've considered all the alternatives, dividends, additional stock repurchases. Today we used repurchasing stock, which we believe is still an excellent value. We are going to continue to look at this and what we've told people is we’re going to complete our $500 million stock repurchase program and as we complete that we’ll announce what our intentions are. So we’re getting close to the ends of that, so I would expect in the very near-term we will be making some announcement.
Judson Bailey - Jefferies and Company: Great. And one follow-up, you mentioned the nine-month extension on the ENSCO 53. Is day rate going to be the same, it's an unpriced option, I believe, or is the rate going to be a little higher?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: We extended at the same rate.
Judson Bailey - Jefferies and Company: Okay. Great. Thank you.
James W. Swent - Senior Vice President and Chief Financial Officer: With cost protection.
Judson Bailey - Jefferies and Company: Great. Thanks.
Operator: And Roger Read with Natexis Bleichroeder has a next question. Please go ahead.
Roger Read - Natexis Bleichroeder: Yeah. Good morning, gentlemen. I guess, two things maybe focusing a little closer to home. On the PEMEX contract you mentioned you are the sole bidder on one, I guess low bidder on another. Of the two contracts, what would be the reason that PEMEX might not take that award or you seem to be hedging a little bit? Is it a... bid that was did with exceptions, do you believe the rate is above and sort of the max PEMEX set that they would be willing to pay on the rigs, can you help us out a little bit there?
James W. Swent - Senior Vice President and Chief Financial Officer: Yeah. Well, I think what we said is, we don't have an explanation from PEMEX why they didn't make the awards and why they extended for 20 days. So yes, we were the low bidder, but we were the only bidder on one of the particular tenders. So we bid fairly aggressively, so I'm sure they are considering the rate.
Roger Read - Natexis Bleichroeder: Okay. And then getting back to the earlier questions on the Gulf of Mexico...
James W. Swent - Senior Vice President and Chief Financial Officer: Excuse me, and there were no technical issues with respect to the rigs.
Roger Read - Natexis Bleichroeder: Okay. No exceptions on the rig. Getting back to the US Gulf of Mexico side, hurricane issues rearing their head again this year obviously, it's going to have an impact on where we start day rates in the fourth quarter. If we were not to see any more substantial immigration of rigs out of the Gulf of Mexico, is the expectation that day rates, let's say gas prices don't really change on a year-over-year basis, whatever the average turns out to be. The day rates are probably static with what we've seen this year? In other words, is there anything else that makes you think demand improves as you're looking out, talking to your customers, it would dramatically change the day rate environment in '08 versus '07?
James W. Swent - Senior Vice President and Chief Financial Officer: I don't think at this point we’re ready to project any kind of dramatic improvement in day rates. I think as Dan said, we think people are holding back a little bit during the hurricane season and probably get back to the drill bit afterwards, and rigs will be leaving during that time period. So it seems like rates should solidify or firm up a little bit. But it's hard to tell at this point.
Roger Read - Natexis Bleichroeder: Okay. Well, it's no easier on this side, that's why we ask you guys?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Yeah. We’re in it together.
Roger Read - Natexis Bleichroeder: All right. Thanks.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: I guess the only positive indication I get is there has been a recent up tick of interest from customers wanting to go get six month commitments out of this, which indicates to me, they must thinking they are going up, so.
Operator: And gentlemen, our next question comes from Thomas Curran with Wachovia. Please go ahead, sir.
Thomas Curran - Wachovia: Good morning, guys.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Morning.
Thomas Curran - Wachovia: A few rig specific questions, first following up on Pierre’s line of questioning. Could you tell us of the incremental jackups, you expect to be pulled up from the Gulf on top of the once he mentioned, are they all expected to be taken by PEMEX or, if not, how many from PEMEX and then who would be the other operator?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: There's existing opportunities in the United Arab Emirates, there's an outstanding tender there. We expect that there will be incremental requirements from Saudi Aramco. There’s still unmet needs in Africa... West Africa. So directionally, those are the places we’re looking. In addition PEMEX is also looking for additional rigs as we understand. So I think if you were to cap, kind of name all the markets, I don't have exact numbers for you, because it's difficult to tell when these people put up tenders. But I think you could see some incremental requirements out of PEMEX, I wouldn't be surprised to see migration over to West Africa. Clearly the UAE has an outstanding tender offer and Saudi Aramco has been discussing various alternatives for their tenders in the near future.
Thomas Curran - Wachovia: That’s helpful. I guess, with regard to PEMEX what I'm trying to nail down is just how many jackups in total they could realistically take out of the Gulf over the next 12 months, what's your best read on that currently?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: I'm not sure that we’re in a position to tell you that, as I think a number of people said there's a requirement for six or so more jackups in the near term down there.
James W. Swent - Senior Vice President and Chief Financial Officer: Yeah. And we’ve seen some fairly large numbers and it comes from different sources. So I don't know what's realistic.
Thomas Curran - Wachovia: Exactly. I mean, I've heard that they a month ago they put out a tender list with as many as 15 or 16?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Exactly. So I don't know what's really realistic of that. It's hard to say. So they come out with the actual tenders.
Thomas Curran - Wachovia: Is it fair to say that, that overall level of interest is sort of consistent with last year '05 and then they ultimately go on to actually contract on average a certain percentage of those?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: I got to be honest we were not in that market last year. So I'm not kind of best person to ask.
Thomas Curran - Wachovia: Okay. That's fair. Moving on to the North Sea, I'm not sure if Paul’s on the call, if not maybe someone else could field it.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: No, Paul is actually in the North Sea right now. And I’ve just visited with him. He is visiting with customers over the next two weeks or so.
Thomas Curran - Wachovia: Good. Doing what he's supposed to be doing.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Exactly.
Thomas Curran - Wachovia: Instead of being harassed by me.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: We actually tried to get him on the call, but he is in transit, so.
Thomas Curran - Wachovia: Okay. Just curious, the recent 85 award in the mid 250s, is that indicative of where leading edge is now headed for that class of jack-ups or should we think of it as more of a one off?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Yeah. I think I would be careful to draw that conclusion, so clearly, you know, we feel real good about that market. But and you know, we've got a lot of rigs re-pricing in the near-term, but I wouldn't draw a conclusion that that is going to be the leading edge rate. You know, that was a requirement by a specific customer and limited availability.
Thomas Curran - Wachovia: Somewhat more opportunistic than...
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Correct.
Thomas Curran - Wachovia: And then on the 107, did you disclose the standby day rate?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: We did not.
Thomas Curran - Wachovia: Will that be in the next rig status report?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: We actually have not been historically providing that information on the rig status report. So I'm not sure I can give you much better guidance than that.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: You know, we will take a look at that. There's been a lot of discussion because we've been very fortunate to negotiate the standby rates for some of these long-term moves, and accounting rules, you know, we have these rigs that are on standby rate for a long time, we just experienced that with 105. We are going to see it with 107, some standby rate for a period of time, and you know, we are not recognizing revenue until we commence work, so it kind of distorts things quarter-to-quarter and makes it difficult on everybody to look at.
Thomas Curran - Wachovia: Okay. And lastly, Dan, you know, pulling up to a very high altitude with this question, a strategic one, what is the ultimate target revenue mix by rig type, you know, let's just say between ultra deepwater and then jack-ups, and would you be willing to build your way there if necessary?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Good question. You know, we've been asked that question a lot of times, and we don't have a specific answer to that. You know, it was a lot easier question when we had two rigs than when we had five and then certainly four under construction. You know, we feel really good about that market in the long-term. The longevity of that market. You know, direction until that's where our strategic plan is taking us to increase our exposure. But we don't have a number as to what that number should be, whether it's ten, you know, I think if you asked us a year and a half ago, we said, you know, five was our magic goal to get to before we thought we had a meaningful tow hold on the business so, we are going to be there soon. So now direction, we are going in the right way. Whether we build to that or buy our way into that, you know, I think it really just depends on what the alternatives are. We've got four under construction right now. And as you might imagine, that's quite a project to make sure that we execute on that effectively. So, you know, I think we will probably sit tight here for awhile and make sure we've got those projects managed properly and look at alternatives for acquiring assets because there will be a number of opportunities coming up. So we will remain flexible. But we do remain committed increasing our deepwater exposure.
Thomas Curran - Wachovia: Great. That's very helpful. Thanks, guys. I'll turn it back.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: Justin, we have time for one more question.
Operator: Yes, sir. Our next question comes from Mike Drickamer with Morgan Keegan. Please go ahead.
Michael Drickamer - Morgan Keegan: Hi, Dan. We can't let you get all the way through the conference call without a question on M&A.
Daniel W. Rabun - Chairman, President and Chief Executive Officer: I knew it was coming.
Michael Drickamer - Morgan Keegan: All right. So speaking strategically here, a lot of speculation about future consolidation in the industry yesterday was centered around the offshore drillers trying to maintain scale within the industry. What are your thoughts on trying to maintaining scale in the industry? I know one of the things you guys are having an issue with right now is, you know, trying to moving into the markets. I know only one rig in these new markets. What is your thoughts on scale?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: On scale? Well, I am afraid to step on a limb and make a bold prediction. I think one of my colleagues did that last week and was incorrect. You know, we always said being bigger is better, and we try to build... you know, we are aggressively building our company. And we've been... you know, since I've been a CEO, we've been aggressively looking at different alternatives for growing the business. So we are going to continue with that program and consider all the alternatives.
Michael Drickamer - Morgan Keegan: Okay. And a quick follow-up with that. Your thoughts on a share repurchase program, did any of that happen to change yesterday with yesterday's announcement?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: I'm sorry?
Michael Drickamer - Morgan Keegan: Did your thoughts on a share repurchase program change yesterday with what appears to be a recapitalization of those two companies?
Daniel W. Rabun - Chairman, President and Chief Executive Officer: No, absolutely not. We've been actively considering alternatives and that didn't change our view.
Michael Drickamer - Morgan Keegan: Okay. Great, guys. That's it for me.
Richard A. LeBlanc - Vice President of Corporate Finance, Investor Relations and Treasurer: All right, Mike. Again, we would like to thank everyone for joining us today, and we look forward to talking again on Thursday, October 25th for our third quarter 2007 earnings conference call. With that, I'll turn it back to you, Justin.
Operator: Thank you very much, Mr. LeBlanc. Ladies and gentlemen, that does conclude our question-and-answer session and our conference today. We thank you very much for your participation. Have a great day.